Operator: Thank you for standing by, and welcome to the Cochlear Limited Half Year 2025 Results Analyst and Media Briefing. All participants are in listen-only mode. There will be presentation, followed by a question-and-answer session. [Operator Instructions] I'd now like to hand the conference over to Mr. Dig Howitt, CEO and President. Please go ahead.
Dig Howitt: Good morning, everyone, and thanks for joining for our half year results presentation. Here with me today have Stu Sayers and Sarah Thom. And Stu who was our CFO until the end of December and is now President of Asia Pacific and Latin America. We'll talk about the result because it's the result for last half. And Sarah, as our new CFO, is here with me as well. Okay. So thanks for joining. Let's get underway. And we have our mission upfront because that does guide all that we do at Cochlear and it also sets out our longer-run ambition and underpins our long-term strategy for growth. So looking back at the first half of this year. Overall, we were pretty happy with the outcome. But clearly, as you look into it, there's some mixed results in there. So strong Cochlear implant revenue growth at 13%, Acoustics revenue, very strong at 22% and Services, which obviously talk more about declining by 12%. But all of that giving us a net sales increased to 6% in constant currency. Our underlying net profit moved pretty much in line with sales on a reported basis with our profit up 7% to $206 million. Gross margin, that Stu will talk more about in line with our targets and our operating expenses up 10%, so a bit faster than sales, and that's not unusual for us early in the year, as we continue to invest into R&D and very much into driving growth. Our balance sheet remains strong with $383 million in cash. Now that's come down a bit as we've been building up inventory ahead of new product launches, and Stu can talk a bit more to that. The dividend up 8% to $2.15 and just short of our 70% payout ratio and we're maintaining our guidance range, but do expect to come in at the lower end of that range. And two contributors, which we'll talk more to, the lower services revenue and outlook for the year, and we've increased our cloud spending in this year, as we move into the final phase of our cloud transition. So let's go into these in a bit more detail. So Cochlear implants first is that -- so sales revenue up 13% and unit growth of 6% and our development, 5%, developed markets going 6% and remember here, we had a 15% growth in the first half of 2024. We saw good growth across the U.S. and Asia Pacific in our developed markets, but a lower rate of growth in Western Europe. Importantly, adults and seniors grew at 10% for the half, whereas their children declined modestly. And we're actually pretty pleased with that outcome for children, because if you remember, back to the first half of 2024, we had strong growth, actually a double-digit growth for children, which we said was a one-off. We thought some share gains. And in the U.S. with the FDA changing its indications from 12 months to nine months, been a pull forward of younger children getting surgeries earlier. So we were pleased to see that actually rather than settling to a lower level, actually, that children might hasn't grown at that rate in the study pretty strong. And I think it's a good indication of our competitive position in children in pediatrics. But we do continue to work on the core of this, obviously, our long-run strategy for growth in adults and seniors, which is the biggest opportunity that we have. And we continue to invest in our strategy for growth. We continue to see good adult referral rates. And we do continue to see some of the bottlenecks in a few places as we've talked about, particularly at the full year for 2024, particularly around Audiology. But equally, we are seeing an increasing engagement and uplift of more efficient paths for audiology, fewer appointments in the first year. We still have a long way to go, but it is pleasing to see an increasing adoption, fewer appointments based on the evidence showing the outcomes equally as good. Now in emerging markets, this was a bit behind where we had hoped to be in the first half. But to recognizing that emerging markets is always -- has some volatility to it. We said at the full year that there were a number of markets, including India, where tenders hadn't come out at the rate that we had seen in the past or expected. We did expect those to come back through this year. We haven't seen as much of that in the first half. But the demand is clearly there. And the governments have funded before, so we do expect that to come back. And we did see a lift that gap between the revenue and the unit growth rate, largely driven out of emerging markets and it's a reflection of lower tender volumes, a positive country mix. So obviously, countries have different prices, And some stronger growth rates in private pay segments and the premium segments in China and in India. So it's really pleasing to see that the growth in those premium segments that's supported stronger growth in Cochlear implant revenue overall. Now if we move on to services and to our upgrade business. So clearly, down 12%. That was where we expected. We did expect it to come off given the 29% growth in the equivalent half last year. We saw that growth come off in the second half of 2024. We didn't expect it to come off by as much as it did. Now there's a few factors underneath that. One of the significant ones that we are seeing is this cost of living pressures, particularly in the U.S. that we are seeing a higher rate of cancellations or inquiries that don't follow through when people see they're out of pocket. We actually asked about this at the half -- at the full year -- and then we said we were monitoring it, but we hadn't seen an impact from inflation and higher cost of living in this half, we had seen particularly in the U.S., an impact of inflation, higher cost of living pressures of people deferring upgrades when they see the co-pay. But further on that and part of the reason I do that is because Nucleus 7 is such a good product. Nucleus 8 is a better product than people who switch, recognizing the benefit that we've had these two pieces of Nucleus 7 being very strong and cost of living pressures, having people defer upgrades. In this area, we do -- and as part of our cloud transformation, put in a new CRM and implementing a new cloud-based marketing automation system, which will enable us to much better segment our customer base and be able to therefore, better target that people on upgrades because while the barriers around copays, one of the biggest barriers to upgrade still is awareness of eligibility. And we have made good progress, but there is more progress for us to make it actually being on a segmented eligibility and where we are able to make people aware of their eligibility and the benefits of new products, and we're building the platforms to enable us to do that. So let's move on now from Services and going on to Acoustics and a very strong half in Acoustics, recognizing that it was a little bit weaker in the first half of last year because we introduced the OSI300 in that half, we saw some surgeries held in the U.S., which led to a 50% increase in surgeries half-on-half for the OSI, for the Osia system. Baha continues to perform well, but Osia is absolutely the driver of growth. And as we have talked about for the last few years here, we see a huge opportunity long run opportunity for growth in acoustic implants. With Osia, we clearly have the right product to do it and delivering great power output in high frequency, simple to plant, very good MRI compatibility and extremely good feedback from virtually all of our Osia recipients. So we've got the right product. We've got a huge opportunity. We continue to expand into new countries. So we are reflecting the quality of the product by asking for a price a higher price, which is only -- which is appropriate, and that means it does take time for us to roll out country by country, but having added France and Italy recently and a number of emerging markets, we see good growth in those as we roll out. But lots more opportunity to come in acoustics, I'm very confident of our product portfolio there in that that competitive position we hold and our activity to drive growth. So with that, I will now hand over to Stuart to talk through the P&L and the balance sheet, and I'll come back to talk about the outlook.
Stu Sayers: Thanks, Dig. Good morning, all. So you've heard Dig talk through the sales line, that 6% change year-on-year constant currency. I won't add further to that. If you look at gross margin at 75%, that's slightly better than we had expected. And that’s really the tailwind of some higher ASPs in emerging markets being or offsetting what we knew was coming in terms of a little bit of a headwind, as Chengdu is still very much in ramp-up stage. That Chengdu site, we are manufacturing and selling sound processes out of our site now. We've just got approval to manufacture and sell implants at that site, they come through in December. So while that plant is in ramp-up and that will be for the next year or two, we'll still see a slight headwind there. We are expecting to be at about 74.5 at the full year. Good growth in the sales marketing general line, and that's really us continuing to invest in medium to long-term growth. So that's standard of care, that's direct to candidate activity, really, all the activity around expanding access and awareness and we continue to see good progress and good wins in that space. R&D, as we often say, we aim to keep that at 12% of revenue, and it is there, again, for the half. It's up slightly more than that year-on-year. And that's really just a function of sort of timing more than anything being slightly below that 12% market, slightly fractionally above it at the end of the half, but again, of revenue is the set point we're aiming for there. Dig mentioned that cloud investment H1 at11.7% was slightly lower. Again, that's a timing thing. We are accelerating that program. We're going to be spending more in half 2. We still expect to be added around $40 million for full year. And I Dig will talk to more of that acceleration into FY 2026 as well. And lastly, underlying profit, both pre and post cloud, given the slightly smaller cloud spend 18% and again, that's that set point we're aiming for. So on to the balance sheet. Key change here is a pretty significant move in inventory. You can see that $69.5 million increase in H1 in inventories, driving the $97 million change in working capital. That's really a function of two things. The biggest one, the buildup of inventory ahead of some major new product launches coming later in the year. And then also, again, some deliberate choices to hold high levels of safety stock on a couple of critical components. And again, that just makes us more confident that there's no chance we ever run out of stock. That stock level, as I said, it's ahead of new product launches. We do expect it to it to stay at those elevated levels through the end of the financial year, and will start -- should start moderate towards the end of calendar 2025 Property plant and equipment up 18.6 that's continuing investment in the Lane Cove site capacity expansion and the same in Malaysia and our KL operations. And the net cash line coming down the 130. Really, that's a function of the inventory build and the higher inventory line. Obviously, we’re still doing the share buyback and remembering that H1 is always a bit heavier on cash use versus H2, because that's also where the STI payments for the prior year come out. And then lastly on to cash flow, operating cash flow is down $47 million. Again, that's a function of those inventory movements. We did get stronger cash coming in through the underlying business. CapEx very much in line with last year and where we expected. And as previously mentioned, where the $19 million share buyback, that's the amount we spent since June, and that program is set to continue. And with that, I'll hand it back to Dig.
Dig Howitt: Okay. Thanks, Stu. So let's go through the outlook. So we're going to help over 50,000 people here with one of our implants, Cochlear or Acoustic Implants this year, and we remain on target for that guidance range of $410 million to $430 million, but we'll be at the lower end. And that is driven by services revenue coming in lower than our expectation for the year and the higher cloud investment that Stu just talked to. So for Cochlear of implants, we do expect to end up with a unit growth rate of around 10% for the year. We will be launching the next-generation Cochlear implant around the middle of year, obviously, that's dependent on the regulatory approvals. And just to head off questions on that, so we are saying that we are launching product around the middle of the year, but we're not going to go into any details on what's actually in that product. For that, we need to wait until -- and our customers need to wait until we are ready to launch and we do launch the product. But, obviously, we expect that to be available through FY 2026. Our activities to drive growth that I've talked about and Stu talked about part of our longer run strategy, particularly to focus on adults and seniors in developed markets remains intact, and we continue to see good signs of raised awareness, more people being referred, and therefore, more demand coming through in that very important segment. And that's supported by the ongoing increase in evidence showing the importance of treating hearing loss as people age and particularly the links between hearing loss and cognition that continue to strengthen with a number of research programs around the world exploring that. So on services and on upgrades, we did, as I said, saw a really strong uptake of nuclear stake when we launched it in financial year 2023. We saw the growth slow in the second half of last year. We still did expect modest growth for 2025. We're now expecting a single-digit decline. I've talked about there that the impact of out of pocket definitely being a factor there. And we certainly have more work to do to build -- increase our ability to connect with recipients and to promote the benefits of Nucleus 8 over Nucleus 7. But there still is a significant unmet demand or unmet need for upgraded and new processes, but we have still a large proportion of our recipient base. On processes, all of the Nucleus 8 and actually still on old of a Nucleus 7. So the opportunity is there, and we're working hard through a range of activities to lift the upgrades as we go into the second half. As soon as we go in to '26, we have increasing eligible recipient base, and we'll have our new ear processor, Kanso 3, which will be part of this midyear launch available both for upgrades and obviously, as part of a new implant system. Acoustics, I've talked about the outlook there, the continued geographic expansion and also continued work on raising awareness of the benefits of acoustic implants in the markets where we've already launched building patient pipelines, building the clinical evidence showing how good and the outcomes are with Osia and the benefits that patients and health care systems see from people taking an acoustic implant or doing nothing or alternative therapies. And then finally, on the cloud investment. So as you know, we've been investing in working on our operating model on upgrading core and aging business systems to cloud-based systems over the last 4 years. All of this aims to improve our efficiency and agility, as well as make sure that we are capable and able to support a growing and larger customer base. So we've increased the amount that we're going to spend by $100 million to $250 million from our previous estimate, and that is directly as a result of expanding the scope. As we've gone into this final phase of replacing our core ERP and manufacturing systems, we have found that we want to do more from a data perspective to make sure that we are set up to leverage the benefits of having clearer data and particularly with AI and to make sure that we can support our customers very well. From a manufacturing perspective, as we grow, we are adding a new manufacturing execution system that wasn't in our -- wasn't in the original scope, and that's to make sure that we can meet all of the regulatory requirements for traceability around our manufacturing processes. So we'll -- but we're also going to accelerate that program so that we will finish it in '27 with majority of that balance spent in '26. And so given that the materiality of that increase from the rate we've been running at year-on-year, we will report it as a significant item from F '26 so that the underlying performance of the business is clear. Okay. So that's a summary of the outlook. I'm happy now to switch over to questions.
Operator: Thank you. [Operator Instructions] Your first question today comes from Andrew Goodsall from MST Marquee. Please go ahead.
Andrew Goodsall: Good morning. Thanks very much for taking my question. Just asking -- first question was asking around that second half. You're obviously expecting quite a big second half. I've sort of calculated about 15% unit sales growth. So yes, just trying to get you to characterize sort of what sort of movement you've seen in these first couple of months of the half and sort of, I guess, what that depend on? And maybe throw China contract in there, perhaps that's a tailwind for you?
Dig Howitt: So, Andrew, yes, first off, on the outlook more broadly, yes, we do expect to get to around 10% and therefore, a lift over the first half into the second half. That's what we're seeing good momentum across key countries. Europe was a bit slower in the first half. And Europe always has a bigger second half than first half anyway just because of the Northern Hemisphere saw an impact through July and August. And in emerging markets, with only 3% growth in the first half, we do expect significantly stronger growth there in the second half. And you mentioned China. So, let's talk a little bit about that because I'm sure that there's going to be questions and that's really around what's the impact of the volume-based pricing mechanism that the Chinese government has been bringing in and that -- across a whole range of therapy. So, where I want to go there is let's talk about broadly, what are China trying to do with volume-based pricing. Secondly, what's from a competitive or relative perspective, implies -- what's China mean for Cochlear? And thirdly, what does the future look like? And the third of those is the hardest, it's actually the most uncertain. But first of all, just very briefly on volume-based, probably seeing the Chinese government have been doing this across a range of therapy areas. And their goal is really to both lower price and expand access. So, they ran a process, a competitive process to try to bring the price of devices or drugs down. At the same time, they expand -- effectively expand reimbursement, expand medical insurance. So, that there is still an out-of-pocket component, but there's a smaller out-of-pocket component and far more people eligible. So, it's trying to manage costs, but also expand access is the goal of the program. In terms of us and in China, so we don't disclose how big China is as an individual country. Clearly, that's very sensitive from a competitive perspective. What I can say is we are least exposed to China than any of the Cochlear implant companies around the world. China performs part of our Asia-Pacific region, which you can see is less than 20% of our sales and it is a big region. Now, the part of the China volume-based -- or part of the market that is affected is surgery is done through the public hospital, so it excludes the special zones. So, that's a significant portion of the business, but it is certainly not all of our China business. So, in terms of then the process, so there's been a bidding process that's gone on. Out of that, we've come out with a price that -- is it a premium to our international peers. We exercised some good discipline on managing where we priced, we will lose a little bit of volume in the short run. But as I said, the intent of this is actually to expand the volume significantly, and we think we're very well-positioned to -- as that volume expands to pick it up. Now, how this all plays out is still very uncertain. It hasn't been implemented yet. But it's a long way around of saying we still believe in the significant long-run growth opportunity in China and the other, we'll be working on that growth with a price that's a premium to our competitors. I hope that answered your question, Andrew. Sorry, long answer.
Andrew Goodsall: Very comprehensive, but it does. It probably means it wasn't China because I think the contract started in March or that processed us in March.
Stu Sayers: Intended to start in March, yes.
Andrew Goodsall: Just a follow-on, more just maybe on for Sarah or Stu. Just thinking about the hedge at second half, always trying to nail this down a bit more better than I do. But with the drop in the dollar versus US spot rate. What's your sort of just broadly sort of rough impact for the second half hedge effect?
Stu Sayers: No, not a huge amount. So we averaged USD 0.66 in the first half. I think we think we'll be in and around USD 0.65. We're planning about USD 0.65 on balance for the second half. And obviously, it's a little bit lower than that on the spot rate, but the rates we're living in now were hedged 6, 12, 18 months ago as well, so that moderates that a bit.
Andrew Goodsall: But probably still to come in with a slight negative though, if you hedge above the spot?
Dig Howitt: Yes. It's somewhere between $5 to $10 million.
Andrew Goodsall: Okay. Got it. Thank you very much. Appreciate it.
Stu Sayers: Thanks, Andrew.
Operator: Thank you. Your next question comes from David Low from JPMorgan. Please go ahead.
David Low: Thanks very much taking my question. Just can we start with the service revenue? And I hear the explanations. But I guess, some of the feedback we get is that it's much more difficult these days to show a clinical or a hearing outcome benefit with the latest processor. And that being the case, insurers or payers are more reluctant to pay for the next generation, certainly quite as quickly as in the past. I was just wondering, one, do you think that's a factor? Two, what can be done about it?
Dig Howitt: Yes. So the first one is that you don't see that as a significant factor. It shows navigating insurance in different countries. Note, it requires some knowledge and some challenge, but what we -- we do get insurance rejections, but we are not seeing many for lack of benefit. And we've got some good clinical evidence showing that gains in hearing and noise on Nucleus 8 -- over Nucleus 7. It's a core part of our design philosophy is to improve hearing outcomes. And so we've done with you sand we think there is clearly headroom to do to go further, and that's part of our development of future sound processes.
David Low: And just on related. I see the hearing aid companies are introducing AI supported devices and claiming better hearing outcomes. Can you talk at all about where Cochlear is at with similar development?
Dig Howitt: Yes. We've been aware of the opportunity for the neural networks to still to do even better in hearing and noise. And so clearly, that would be part of our future is to make sure that we keep across technology. I mean, one of the things we've done for a long time is monitor what's going on in hearing aids from a technology perspective and to make sure that we're at we incorporate those sorts of things into our products. Apart from a competitive perspective, our growth comes from getting people to move from high-powered hearing aids to Cochlear implants. And they all do better when they do that. But part of the assessment going in is do they get all the features that they were getting on the implants. That we were first in iPhone and Android phone connectivity and Cochlear implants, we did that on the back of our relationship with GN ReSound. But we did that because there's a clear benefit for our customers, but also because they were used to that from a hearing aid and trying to get someone to switch from a hearing aid and say, yes, that you lose this benefit makes that task much harder. So yes, well aware of the opportunity there. And if it proves to be successful, it certainly will end up in our products.
David Low: Right. And just one other. I mean, so going back to Andrew's question on unit sales. So an uplift in the second half, yet you've announced the new product is coming. How much have you allowed for the fact that there will be some postponement. I mean, frankly, I would have thought potential recipients who become aware that there's a new version and next-generation version coming are likely to postpone and that will have a detrimental impact on sales this half. Just wondering how you've thought about that, please?
Dig Howitt: Yes. We think that will be a pretty muted -- I mean, most people who end up getting a Cochlear implant have not heard anything about Cochlear implants until that they get have been -- had a hearing loss for a long time and are really struggling with hearing loss. And they get significant benefit from switching over. So not like people on this call are monitoring what we're doing regularly, tens of thousands of people out there who are going to get Cochlear implants completely in the field. The other factor there is that hospital and audiological capacity is tighter. And giving up of a surgical slot and hoping that it can be made up later. And we're just not seeing hospitals do that even now forget about a new product. But when surgeons have surgical slots, they want to use them. So look, there is some risk there, but we don't see it as a significant. And then the other thing is that we have a couple of regulatory approvals. We don't -- we're not -- it's not too broad yet, and we haven't in the past seen people hold when there's no regulatory approvals in place.
David Low: Understood. Thank you very much.
Dig Howitt: Thanks, David.
Operator: Thank you. Your next question comes from Saul Hadassin from Barrenjoey. Please go ahead.
Saul Hadassin: Thanks. Good morning. Dig, can I ask you about the upgrade sales again? Maybe you've flagged again the Kanso 3 release. These sort of mid upgrade cycle releases, can you talk to your thoughts about the recovery in services revenues beyond FY 2025? I guess I'm trying to work out is to what extent do you think N8 will continue to be a drag on the base at a very strong first 12 months, I assume N9 is not due out for several years. So to what extent do you think the Kanso 3 can resolve some of that softness as you head towards the mid late part of the N8 upgrade cycle?
Dig Howitt: I'm surely confident of seeing a lift with Kanso 3. There is a good proportion of our users who prefer off-the-ear processor and the opportunity to go from Kanso 1 or Kanso 2 to Kanso 3 is important for people. So we'll see an uplift there. And also remembering that we certainly do see these cycles of a jump on launch and then tails off over the life of a product to we launched the next one. Still the biggest driver of our services over any cycle is the increasing number of people who are eligible for an upgrade. So as we look out over 2026 and 2027 and then to 2028, we are cycling good high growth in our Cochlear Implant, first-time Cochlear implants, some of people being five years out from getting their first -- their implant. And so that lift in the eligible base, we expect to see that continue to drive upgrade in the future. And if you go back and look at the chart, I think on our third slide, you do see long-run growth there, but you do see half-on-half some variability.
Saul Hadassin: Thanks Dig. And if I could just one question for Stu. Stu, just on the other income for the half, just noticed a couple of items in there. Can you talk to what the other in other income is? Is that gain on investments? Or is that doubling of that profit this half versus PCP?
Stu Sayers: Yes, it's definitely not going on investments. Is there anything that goes to the P&L, comes in underneath underlying some bits of it. The only real material reval we've had this year or this half being excellent because of the balance sheet. In terms of that other line, there's about $6 million, $7 million of FX gains, which actually, it’s about $3.2 million but it's off a negative of $3.6 million last year. So it's about a $6.8 million swing on FX on balance sheet items. That always goes through that line. There's been no change in what's in that line this half of it. The other two things that are in there, again, things that we're always doing the grants, so R&D grants where we can apply for funding or co-funding from payers are rather philanthropic institutions for R&D research we do, that's we do every year and then some small amount of collaboration income, and that's where we might offer contract services to small players who we think have aligned interest. So that's the nuts and bolts, so it’s largely wait and watch.
Saul Hadassin: Great. Thank you.
Operator: Thank you. Your next question comes from David Stanton from Jefferies. Please go ahead.
David Stanton: Good morning, team, and thanks very much for taking my question. In terms of -- perhaps start with one for Stu and/or Sarah. In terms of gross margin, you talked to the fact that Chengdu will impact this year, but into next year, should we be thinking that the gross margin will get back to its long run average? Is that the way to think about it?
Stu Sayers: Look, we think Chengdu likely have an impact for at least another year or two. We started production really in the last six, 12 months. It will take a couple of years to get up to fill the capacity. So until you get there, you have that higher overhead per unit throughout that's at least a couple of year phenomenon, I think.
David Stanton: Understood. And then just want to confirm, you're still targeting a circa 18% NPAT margin over the longer term for the business?
Stu Sayers: Yes, definitely.
David Stanton: Understood. Okay. Very good. And then I guess two competing things in terms of that -- what we're all talking about, that circa 15% growth in the second half in terms of unit sales. How much of that is going to be driven positively by visibility of referral rates? Do you get a better look at what's in the pipeline than perhaps you did even two, three years ago? And if so, what's the reason versus the impact of -- we continue to hear developed -- in the developed world, at least, you've got lower surgical support staff, which is sort of somewhat alluded to a little bit, I guess. How do you sort of offset the 2 of those going forward?
Dig Howitt: So yeah, look, I think first on the visibility, we do have better visibility than we have, but we still want more. Still the majority -- we talked about this at the last few results, the majority of people who get a cochlear implant, we still don't have visibility of them until they get to a clinic. But the proportion that we are engaged with or in touch with is certainly growing. So it's improving, but there's still room for us to do more. And then on the surgical capacity, it's actually still really audiology that we do -- that's more of an impact. There are cases of surgeries rescheduled or an at least not being available, but it's the audiology piece is more of a constraint than the surgical one. And there, I think we have -- we are seeing some better adoption of lower -- fewer post-surgery appointments, which is helping a bit more capacity for valuation.
David Stanton: Thanks. Very clear. Thank you.
Operator: Thank you. Your next question comes from Steve Wheen from Jarden. Please go ahead.
Steve Wheen: Yeah. Thanks very much. I just had a quick question on the new implant. Just wondering whether or not that's been approved by the FDA yet to give you the confidence to announce the launch date, probably asking mainly from the point of view you've been looking for signs of clinical trials on this and have came up with not very much. So just wondering where it stands from an approval point of view?
Dig Howitt: Yeah. So Steve, we don't have FDA approval yet. So I'm sort of happy to answer on the FDA, but don't want to -- and I know you're not going there do a country by country where is it approved and not approved. But the FDA approval when it happens is reasonably public. So you have to find it.
Steve Wheen: And the clinical trial has been complete?
Dig Howitt: Well, we don't -- for -- we don't necessarily need to do a clinical trial to get an implant approved. So they're sort of -- they are independent functions in this case of us doing clinical trials and regulatory approval processes.
Steve Wheen: Okay. Just switching to the Nucleus 8, just I'm not sure if I missed this, but do you quote a number as to what sort of penetration you've already achieved with the eligible cohort for upgrading?
Dig Howitt: No, we haven't quoted a number. The penetration in the last half is -- we haven't quoted a number on it, but it has fallen from where we were. And that's our opportunity to lift at that back up as I said, but part of that is a cost of living this year.
Steve Wheen: Okay. And then the last one, just trying to think about how we treat this cloud increase in the investment. There obviously was a balance of that spend, which was you were previously absorbing into the underlying numbers for FY 2026. So when you give guidance for 2016, will you be taking all of that out and putting it below the line or leaving the amount that was originally in and just putting the extension of your project below the line, if you understand what I mean?
Dig Howitt: No, we'll put the whole amount below line.
Steve Wheen: So you get an upgrade in the underlying we'll get a big upgrade in the underlying relative to the way we're expecting or forecasting it and the total amount will go below the line?
Dig Howitt: Yes, yes.
Steve Wheen: Okay. Got it. That's all for me. Thanks.
Dig Howitt: Thanks, Steve.
Operator: Thank you. Your next question comes from Davin from Goldman Sachs. Please go ahead.
Davinthra Thillainathan: Hi, Dig and team. Just a question on, I guess, your implant market share. There's a bit of feedback from the channel suggesting that some of your competitors have released new features have managed to shift some of that share to the business. Just curious in your thoughts there in light of your number that you've put in the half, just your ability there to sort of either hold your long-term market share. And then the next question on that would be with the new implants that you are launching, just the ability to, I guess, innovate ahead of the field? Thank you.
Dig Howitt: Thanks, Davin. Good questions. So first of all, we're confident of our long-run position on share. We hold a very strong share across the world and certainly in developed markets, and that's on the back of the strength of our product portfolio our history and reputation and the strength of our local sales and field clinical teams. Yes, our competitors are always going to try and find things that we don't do and aren't doing and try to differentiate themselves on that. So we see that from both of our competitors. Because they do that, they will they'll have some successes here and there, but not -- we're not seeing that happening at a material level. And remember, one of our competitors is coming back from a pretty significant recall and the further that phase into the distance that sort of helps their share a little bit. But as we look forward to our product portfolio and the future we are very confident that we will be able to only hold our share, but lift our share as we look forward, knowing what we have in the pipeline. We spend a lot of money on R&D, and I think we're spending it wisely. And that means that we do -- as we've said in the past, we've got a full pipeline of products coming out over the next several years. And we don't see that our competitors have the financial capacity to keep up with what we're doing.
Davinthra Thillainathan: Okay. Thanks. And the next question is on the cloud spend that you've increased quite materially by about $100 million relative to the baseline. Could you give us some better sense of what you're spending that on? I saw the release was core ERP data and manufacturing systems. Could you just elaborate further on why you've lifted the, spend there? And then secondly, the expected benefits that you would expect out of that spend. That would be very helpful. Thank you.
Dig Howitt: Yeah. So go back first on why we've left, what it's going on to and into the benefits. So when we set out on this in 2020, 2021, at that point, we're actually going to capitalize what we spent. And there was a clarification of interpretation of accounting laws, which meant that all investment in cloud computing and transformation had to be expense rather than capitalized. So we had an estimate at that time. And that was done sort of looking forward, but without detailed scoping. So now four years on, we've gone. And we've implemented a new human capital management system. We've implemented a new CRM. We put some supporting systems around those. And now we're going into replacing our core ERP. So we have a 20-year-old -- 20-plus year old ERP. This is something that we expect to do about every 20 years. So as we've gone in and scope this in depth, we want to make sure we get it right. We want to make sure we're building the platform for a much larger business. So that's we have gone into more depth, which enables us to get a better estimate. The cost of putting these things in has not been immune to inflation over the last four or five years. So just an actual cost effectively per day of implementing these things is considerably higher than it was and we've had a manufacturing execution system. When we went into this, we hope that we would be able to use sort of an off-the-shelf ERP for our manufacturing, given they've developed quite significantly over the years. As we've gone into further detail, we rise, we need to put manufacturing system over the top of the ERP to have the level of visibility and control that we have and that we need. And so that's an additional cost that we didn't have it at the start. And we're doing much more on data, than we were initially. And that's looking forward to obviously, the value of data, but also the potential that not only these new systems bring, but also with AI into the future and making sure that we get the foundations for that price. So it is a material uplift. And it's driven by that going into more detail. And we said we deliberately left this part to last, so that we would learn as we went through the first few phases.
Davin Thillainathan: Okay. Thanks, Dig.
Dig Howitt: Thanks, Davin.
Operator: Thank you. Your next question comes from Mathieu Chevrier from Citi. Please go ahead.
Mathieu Chevrier: Thank you. Good morning, gents. Thanks for taking my question. My first one was just on Cochlear Implants, the ASP benefit that you have in the first half. And I guess from -- that was from the mix shift, how do you see that evolving in the second half? And then, how do you see the new implant impacting that in 2026 and onwards?
Dig Howitt: Yeah. Mathieu, thanks for the question. So we expect that, as particularly as emerging markets, we get more of that tender volume coming back with the ASP will come off. So it was higher in that first half. As we look forward to new technology, we will certainly be seeking price increases in the markets where we have the opportunity to do that on the back of the benefits that the new technology brings and the magnitude of that, I'm not going to go into -- we think we can get at this stage.
Mathieu Chevrier: Yes. Okay. And then in terms of how you're thinking about the potential penetration rate of upgrades over time, as what happened in the last kind of 6, 12 months made you reconsider where that could land over time?
Dig Howitt: No, it hasn't. As we said at the full year, the question was raised on cost of living and inflation, what impact and said that we haven't been through with upgrades of volume to see what impact that has. And we have seen some impact given the inflation is coming off, and hopefully, cost of living pressures moderate, that should fall away. And as I said, we are working with our new platforms, the ability for us to segment and target to make more people aware of their eligibility will lift and people's awareness of their early eligibility is still the biggest factor in lifting up penetration. So I do think that there is opportunity to lift the penetration certainly back to where it was, but we've been talking about for a while, lift it further still. And the underlying base of recipients just continues each year to grow growing volume.
Mathieu Chevrier: Okay. Thanks very much.
Dig Howitt: Thanks, Mathieu.
Operator: Thank you. Your next question comes from Craig Wong-Pan from RBC. Please go ahead.
Craig Wong-Pan: Thanks and good morning. In Services, which region experienced the largest declines? Or was it fairly broad-based fall in services revenues by region this half?
Dig Howitt: Yes, Craig, can give you a little bit of detail on that. I don't want to go too far, but certainly the U.S. where probably most exposed to copays had the most significant falls. There were a couple of other countries where we saw falls equally, we had some countries where we grew, but the U.S. was most affected.
Craig Wong-Pan: Okay. And then, Dig, you mentioned about the cloud systems and the benefits of that allowing you to target patients to greater target than for an upgrade. But the full benefit of that sort of there yet. I mean when do you expect to see the benefits of those cloud systems helping you drive upgrade services revenues?
Dig Howitt: So we think in -- certainly in 2026, we will -- in the next financial year, we will be able to get some of those benefits, but we will get some through this year. I mean, we have a number of activities underway. So these things do tend to happen in a step change. They have gradually as build functionality and learn how to use that functionality. So it will happen gradually. But starting this year and certainly into 2026. And I realized just on that, I didn't say to answer Mathieu's question just on the broader benefits. And there are -- particularly with the ERP and manufacturing significant efficiency gains that we will get in manufacturing a reasonable portion of time now we spent on recording that we can automate with the new system. So we'll get to straight out efficiencies and our manufacturing line and similarly from the ERP. We have a lot of transactional manual transactional processing, which is inherent in a 20-year-old system that we will be able to automate. So there are efficiency gains that we will see after we put this -- the new ERP.
Q – Craig Wong-Pan: And then my last question, just on the CapEx at your full year results last year, you guided to CapEx of $110 million to $130 million. Just wondering whether you're still expecting that level of CapEx this year?
Dig Howitt: Yes, we're holding to that range.
Q – Craig Wong-Pan: Okay. Thank you.
Dig Howitt: Thanks, Craig.
Operator: Thank you. Your next question comes from Sacha Krien [ph] from Evans & Partners. Please go ahead.
Q – Unidentified Analyst: Good morning. Thanks for taking my questions. First question, just on developed market pediatric implants. Just wondering if you can talk a little bit about the outlook there. Do we sort of expect growth to plateau or penetration, I should say, to plateau? Or are there still opportunities for further penetration and possibly increases in bilateral implantation as a proportion of surgeries?
Dig Howitt: So if the pediatric implants, we expect that to grow at a couple of percent a year, really largely in line with the growth in birth rate. The penetration across most markets is very high, and the uptake of bilaterals is very high certainly across developed markets. There are countries like the US where there is still an opportunity to lift the penetration in Japan is another one. So there are some small opportunities for more penetration, but largely, we're expecting it just grows in line with the birth rate.
Q – Unidentified Analyst: Okay. Second question. We're hearing about some good outcomes on residual hearing out of some trials in Melbourne. I'm just wondering if there's an opportunity to expand that more broadly and achieve better outcomes on that that globally?
Dig Howitt: Yes. So residual hearing is certainly one of the areas of research and product development we are working on. It's a one of the barriers to people getting a Cochlear implant is they can hear a bit. It's not really very functional hearing, but they are -- people rightly are concerned about losing that hearing. Now whether they lose it or not, they still get extreme significant lift in hearing performance. But having been able to make stronger claims around residual hearing would help remove barriers to people getting an implant, we have made some progress on a couple of -- or aiming to make provision on a couple of fronts. One is that with our slim modiolar electrode there's a number of surgeons around the world who are reporting good hearing preservation with that electrode because often the loss of hearing is often caused by trauma from the electrode being inserted into the cochlear with the slim modiolar but actually should stay away from the walls of the cochlear and therefore, not cause trauma. That's encouraging. We know -- we think there's more in future in design opportunity there. And the other one is a drug alerting electrodes. So, if there's trauma, if there is drug of steroid that can minimize the reaction to that trauma, the inflammation from that trauma, then there's potential to improve residual hearing. So we've done some -- we are in the middle of doing some trials with drug-eluting electrodes, some early indications there are showing some interesting indications on hearing preservation certainly not at the scale and the volume to make any claim, but I wouldn't expect that at this stage of the trial, but there's some definitely some opportunity there that we will continue to explore through our clinical work.
Q – Unidentified Analyst: Okay. Thank you. And just one clarification question on the Chengdu ramp up. Just wondering what capacity you're talking to when you talk about the ramp-up? Is it the 10-K that's been being quoted?
Dig Howitt: Yes. So it will happen in stages. So we've got capacity for at least that at the moment. We want to -- obviously, ability to use that capacity and then we can add further capacity over time by adding extra equipment. So we've got plenty of floor space for a lot more capacity than that. But, obviously, we'll add equipment and people as demand grows.
Q – Unidentified Analyst: Got it. Thank you.
Dig Howitt: Thank you.
Operator: Thank you. Your next question comes from Laura Sutcliffe from UBS. Please go ahead.
Laura Sutcliffe: Hello and thank you for taking my question. The first one is just a bit of a revisit on the unit growth expectations for the year. Is there anything that you're expecting in the second half that you wouldn't class as underlying? And what should we think about as a fair run rate? Is the first half more of a fair run rate? Or is the second half more of a fair run rate? Or is it something in the middle?
Dig Howitt: I'll take the annual run rate. We're aiming to grow Cochlear Implants around about 10% per year. We have grown faster than that for the last couple of years, but we've been continuing to talk about 10% being, I think, a sustainable rate when we look at the work to drive demand and to make sure that there is capacity through the system.
Laura Sutcliffe: Okay. That's clear. Thank you. And then just secondly, on bottlenecks in the system and trying to tie together a few of the comments that you've made around maybe waiting times and things like that over past earnings. Is it the case that some of the greater visibility that you've got into the pipeline, if I can call it that, of patients can help you be part of the solution to people falling out of the funnel, waiting too long getting around some of these bottlenecks? Or is it really a case of just sit back, wait and see, awareness increase and then the benefits will come in time?
Dig Howitt: No, we can definitely play a role, and we are playing a role now working with -- in two ways. One is working with clinics to take them through the evidence that shows that the optimum number of post surgery appointments, and we continue to see reduction in the average number of post surgery appointments, which frees up capacity on the front end for evaluation. We also do work from a technology perspective. So our remote care and remote assist enables audiologists to check the status of people's processor or an implant a map and do that remotely and do that in a shorter time than a full programming session, whether that's a face-to-face session or remote sessions. So with technology, we can take time out of appointments, and we're making progress there. Again, that takes some time. But also the weight of demand is an important factor. The clinics having waiting lists is an important motivator to either that to increase capacity, whether that's through hiring more people or through changing practice, but having those waiting list is an important part of the motivation.
Stu Sayers: Yes. And probably just to add to that, I think a big continued focus has been identifying candidates earlier in the funnel, we're going to see more of them before they get to surgery because still a lot of the patients for the first time we know about them is when they're being implanted. And certainly, that data and that access is very helpful. And as you said, being able to do it and we can to make sure those patients make it all the way through the funnel and don't fall out. And I think our capability is getting better, one, at identifying and bringing them in initially and two, at holding them in the funnel and sort of holding their hand through to surgery.
Laura Sutcliffe: Thank you, very much.
Dig Howitt: Thanks, Laura.
Operator: Thank you. Your next question comes from Lyanne Harrison from Bank of America. Please go ahead.
Lyanne Harrison: Hi. Good morning all. Just on Laura's line of questioning. With those bottlenecks in audiology, are they getting worse? Or is it a matter of just -- has it been stable over the last 6 to 12 months, but still seem bottlenecks?
Dig Howitt: So capacity has been increasing, but there are still bottlenecks. So I think it has been getting better, but there is more work to do.
Lyanne Harrison: Okay. But effectively, we're starting to see more people move through the funnel as you continue to do your work there, as well as the audiologist?
Dig Howitt: Yes.
Lyanne Harrison: Okay. And then if I could move on to the emerging markets, we saw private pay. There was a good tailwind in this half. Can you comment on what's really driving that? And do you expect that to continue over the next 6 months?
Dig Howitt: So from private pay or premium tier private pay, yes, there continues to remain a good nicely growing opportunity there because it's largely related to wealth and a little bit to if there is any local reimbursement. So across emerging markets as wealth grows, we continue to see a good opportunity in the premium private pay, but also recognizing that in emerging markets, like in developed markets, the long-run opportunity is a level of government funding and government support to really significantly increased access.
Lyanne Harrison: Okay. And if I could come back to services, obviously, some challenges there with services revenue. But given what you're trying to do more around creating awareness and working out who is eligible for an upgrade. Are we likely to see an increase in the sales and marketing spend as you target those customers over the next 6 months?
Dig Howitt: No, not outside the boundaries that we said of having the 12% to R&D and 75% gross margin will be a little bit lower with Chengdu and 18% net profit. So, we've got an envelope there to spend and part of putting these systems in is that doesn't really cost us more to market. It's just -- it's more effective is the effort we put in, can be done, can be more effective.
Lyanne Harrison: Okay. And just one last question around the cloud costs. About $120 million balance for 2026-2027, how will that be phased over those two years?
Dig Howitt: We're still working through the detail those we go into the detailed design, but the majority of it, we anticipate will occur in 2026.
Lyanne Harrison: Okay. Thank you very much.
Dig Howitt: Thanks Lyanne.
Operator: Thank you. [Operator Instructions] Your next question is a follow-up from Steve Wheen from Jarden. Please go ahead.
Dig Howitt: Hi Steve.
Steve Wheen: Hi, thanks very much. Stu -- this is a question for Stu. I'm just following up on the comment about mix. I was looking at your annual report for FY 2024, and talks to the fair value going through the comprehensive income line. I'm only raising it because the stock is up like 22% in the half. So, just trying to understand where that sits in the P&L from a mark-to-market perspective?
Dig Howitt: So, definitely, it's in the -- on the balance sheet, and it is through that investment.
Steve Wheen: Do you know the other side of -- you've got the one side of the balance sheet, do you know what the other side of that entry is or where it is?
Dig Howitt: Yes. Why don't we get back to you on that one, Steve?
Steve Wheen: Okay. Thank you. That’s all for me.
Operator: Thank you. Your next question comes from Eric Johnston from The Australian. Please go ahead.
Dig Howitt: Hi Eric.
Operator: As it appears to have his line on mute, that does conclude our conference for today. As there are no further questions at this time, I'll now hand it back to Mr. Howitt for any closing remarks.
Dig Howitt: Thanks everyone for joining today and look forward to talking you all at the full year. Thank you.
Operator: Thank you. That does conclude our conference for today. Thank you for participating. You may now disconnect.